Operator: Ladies and gentlemen, thank you for standing by and welcome to the Centerra Gold 2014, Third Quarter Results Conference Call. During the presentation, all participants will be in a listen-only mode. Afterwards, we will conduct a question-and-answer session (Operator Instructions) As a reminder, this conference is being recorded, today Thursday, October 30, 2014. I would now like to turn the conference over to John Pearson, Vice President, Investor Relations. Please go ahead.
John W. Pearson: Thank you, Luke. Welcome to Centerra Gold’s third quarter conference call. Today’s conference call is open to all members of the investment community and the media in listen-only mode at first. After our formal remarks, we will open the phone to questions. The operator will give the instructions for asking a question. Please note that all figures discussed are in U.S. dollars unless otherwise noted. Joining me on the call today is Ian Atkinson, President and Chief Executive Officer; Jeff Parr, Chief Financial Officer; Gordon Reid, Chief Operating Officer and Ron Burk, Vice President-Exploration. Before we begin, I would like to caution everyone that certain statements made on this call may be forward-looking statements and as such are subject to known and unknown risks and uncertainties, which may cause actual results to differ materially from those expressed or implied. Also, certain of the measures we will discuss today are non-GAAP measures and I refer you to our description of the non-GAAP measures in the news release and the MD&A. For a more detailed discussion of the material assumptions, risks and uncertainties please refer to our news release issued last night, the MD&A and the unaudited interim financial statements and notes and to our other filings, which can all be found on SEDAR and the Company’s website. And now, I’ll turn the call over to Ian.
Ian Atkinson: Okay, thank you John and good morning everyone. The operations performed very well in the third quarter, at Kumtor we got back into the SP Zone in September as planned and Boroo had another solid quarter leading us to increased Boroo’s gold production guidance for the year by 5000 ounces to 50,000 ounces for the year. Our quarterly production was over 110,000 ounces of gold which brings our gold production for the first nine-months of the year to almost 320,000 ounces. For 2014, we’ve increased our production guidance and lowered our overall unit cost forecast and also adjusted our capital expenditure estimate. On the financial front, we reported a net loss of $3 million or $0.01 per share, during the quarter, as expected the operations used cash of about $14 million. For the first nine-months the operations provided cash of $159 million or $0.67 per share. We have a strong balance sheet with $404 million in cash or $328 million net of debt. So looking forward to the fourth quarter, as we mine the high-grade SP Zone at Kumtor, we expect to generate additional free cash flow and continue to grow our cash balance through the end of the year. In the Kyrgyz Republic, we are continuing to work for the Kyrgyz government, Kyrgyzaltyn and their advisors to restructure the Kumtor project in accordance with the heads of agreement. We are now in the process of negotiating the definitive agreements. As you will appreciate, it will take some time to bring this to a conclusion, since it’s a very complex transaction requiring the number of approvals including the approvals of our shareholders the Kyrgyz Parliament and the Canadian courts. As we've outlined in our news release, the issues raised by the Stans Energy litigation will have to be fully resolved by the Kyrgyz government before any restructuring transaction can be completed. Moving on to Turkey, the Öksüt project is progressing very well, drilling in the quarter focused on testing the extensions of the Keltepe deposit and the drilling has shown that the gold mineralization does extend about 100 meters to the south that what we previously defined. In early August, we had our first public meeting on the environmental and social impact assessment of the project and that meeting went very well and we are on track with the feasibility study which we expect to have completed in the middle of 2015. So with that, I'll now turn the call over to Gordon for an update on our operations.
Gordon D. Reid: Thank you Ian. As Ian mentioned, both operations performed well during the quarter and we are on track to meet our revised production and cost guidance. At Kumtor ore production for the quarter came primarily from possessing ore that had been stockpiled from the fourth quarter of 2013, but also came from current mining as Kumtor accessed and mined ore from the SP Zone starting in early September. Kumtor produced 95,265 ounces in the quarter at an all-in pretax cost of $1274 per ounce, we expect Kumtor to achieve production guidance of 550,000 to 600,000 ounces at an all-in pretax cost of $835 to $910 per ounce. At Kumtor the forecast sustaining capital has been increased by $5 million to $47 million primarily due to unplanned component breakdowns in the mine. Forecast growth capital has been increased by $9 million to $52 million primarily due to a cost overrun in the infrastructure relocation projects. The buttress at the bottom of the Davidov Glacier has been effective and reducing the rate of movement to manageable levels and is performing as designed. Due to the positioning of the buttress, we are studying whether we necessary to reduce the width of the final cutback for the SP Zone. This study is ongoing, but we don’t expect the changes to have a material impact on Kumtor’s total reserves. We expect to complete this study and provide and update with our annual reserves statement in February of 2015. Oil continue to perform well during the quarter with better than expected gold production from both the mill and heap leach operation. Gold production for the quarter was 15,527 ounces at an all-in pretax cost of $924 per ounce. We have revised those production guidance for the year to 50,000 ounces at an all-in pretax cost of $1050 per ounce. We will continue to process stockpile ore through the mill until mid-December and the other stockpiles will be depleted. The heap leach facility will continue to operate into 2015 and then transition to a drain down/closure status. I’ll now turn it over to Jeff to talk through our financials.
Jeffrey S. Parr: Thanks Gordon, good morning everyone. On a consolidated basis our third quarter revenue of $136 [ph] million reflects an average realized gold price of 12.65 on just over 107,000 ounces sold. We recorded a net loss of $3 million or $0.01 a share. During the quarter, Kumtor reduced the inventory impairment recorded previously by $2.4 million, leaving a balance of $12.2 million. The mine reached ore and cutback 16 in early September and added new lower cost ounces to inventory allowing reversal of a portion of the impairment. As we mine significantly more ounces in the fourth quarter, the balance of the inventory impairment is expected to fully reverse. As Ian mentioned, in the quarter cash used in operations was $14 million which brings cash provided by operations for the year-to-date to $159 million. Our cash and short-term investments totaled $404 million at the end of the quarter, which includes $76 million drawn down under our revolving credit facility. This is after investing $223 million in our properties, $11.3 million in exploration and paying almost $26 million in dividends over the first nine-months of the year. The committee continues to have a strong balance sheet and even in this low gold price environment, we expect our cash balance to grow through the end of the year. For 2014 we revised our guidance on production costs and capital expenditures. As Ian and Gord have indicated, we’ve increased Boroo’s production guidance to 50,000 ounces which brings our consolidated guidance to a range of 600,000 to 650,000 ounces for the year. Our all-in sustaining unit costs per ounce sold decreased to a range of $830 to $897 and our all-in costs have been revised downward to $955 to a $1035 per ounce sold. Both measures exclude revenue-based tax at Kumtor and income taxes at Boroo. The reduction in the costs guidance reflects the increased production forecasted at Boroo and an updated forecast for operating and capital costs at both Kumtor and Boroo. Labour and power costs are paid in local currency and the recent strengthening of the U.S. dollar against the Kyrgyz Som and the Mongolian Tugrik have had a positive impact on those costs. Our forecast for tire, fuel and explosive costs have also been reduced primarily due to lower prices. Looking at our capital expenditures excluding capitalized stripping, we now expect to spend about a $101 million this year, which is up $15 million from our prior guidance. Most of the increases at Kumtor where sustaining capital is expected to increase to $47 million from $42 million for the year. Due to increased equipment overhaul and repair cost. Growth capital is expected to increase $52 million from $43 million due to an increase of $7 million related to the infrastructure relocation projects and $2 million for dewatering projects. I’ll now turn it back to Ian to wrap up.
Ian Atkinson: Well thank you Jeff and just a few comments in summary before questions and the company is solely financial position. And as we've said, we've revised our guidance increasing production for the year and lowering the costs. We are continuing to work with the Kyrgyz government to implement the heads of agreement relating to the Kumtor project and the Öksüt project is on track to finalize the feasibility study in the middle of next year. So with that operator, could we open up the call for questions. So would you please give the instructions on the process for the question-and-answer session?
Operator: Thank you. (Operator Instructions) And we do have a question from the line of Andrew Breichmanas with BMO Capital Markets. Please go ahead.
Andrew Breichmanas – BMO Capital Markets Ltd.: Thanks and good morning everyone. Just question on the buttress at Kumtor and its potential to impact the mine plan. When would that start to impacting your mining activities at the SP Zone?
Jeffrey S. Parr: The buttress at Kumtor, we’re currently reviewing the mine plan to take into account the buttress. We expect to have that completed by the end of the year that will identify any potential impact on reserves and then we will report that to the market at that time.
Andrew Breichmanas – BMO Capital Markets Ltd.: But is it the kind of thing that could impact your operations next year or is it more in the later years of the mine life?
Jeffrey S. Parr: No, we wouldn’t expect it to impact 2015, it would be latter on in the 2018, 2019 period.
Andrew Breichmanas – BMO Capital Markets Ltd.: Okay and I guess there is some mention of processing some carbonaceous ore during the quarter Kumtor and at the same time you’re evaluating the metallurgical recoveries from last year. I was just wondering if you could talk a little bit about that in how you expect that to potentially impact the longer-term recovery at Kumtor.
Jeffrey S. Parr: Yes, well thank you. As we recorded, Kumtor historically has carbonaceous material in the ore, it’s a relatively complex orebody and highly variable. This ore characteristic is – the carbonaceous material that competes – it competes with the activated carbon used to absorb the gold. There are limited methods to capture this carbonaceous material unless it reports of the tailwinds with the gold that absorbed. Over the years Kumtor as used to developed different methods to mitigate the effort of this carbonaceous material, but it hasn’t been 100% effective. We are undertaking significant additional analysis to better understand that distribution in orebody to better predict it as it goes into the mill. With that better predictive technology we can then modify the mill process to maximize the recovery we get from that material.
Andrew Breichmanas – BMO Capital Markets Ltd.: Okay thanks and just turning to Gatsuurt really quickly. Could you just talk a little bit about the progress with the government sort of deeming it strategic and just remind me if that were to occur what the next steps were and how soon you might be able to bring that into production.
Ian Atkinson: Hi, Andrew its Ian. With respect to Gatsuurt, again as we've said actually through the year that we would be working with the Mongolian government and trying to get the Gatsuurt declared strategic, so it would exempt from the head Water and Forest Law and allow us to moving forward. We've over the last few months certainly reviewed it again with the cabinet, the Prime Minister’s office, the President’s office and they are all onsite with including Gatsuurt on a list of deposits that Parliament should review to have them declared strategic. So that said, we heed the approvals from that level of government and now is to be included or our understanding is that it will get included on the Parliamentary agenda for this session of Parliament, now that started up from the first of October, and the sessions runs through to early January. So we are waiting now to find out when it will be heard or reviewed in Parliament. Once it does reach parliament and if approved moving forward where we're at with Gatsuurt now at the minute, we've done no work neither exploration or surface work on it since the law was introduced in June 2009, and the majority of our permits have expired and we will need refreshing. So one of the key things then as soon as we get approval would be to start that review and approval of the permits that process and again that’s something we certainly the Mongolian government would be motivated to move as quickly as possible, but we expect that would take some six-months or more. In addition to that there have been some changes to the rules and regulations, so we do have some additional drilling for either geological purposes that we would have to complete and that sort of work since it is water testing, clearly we wouldn’t be able to do that during the winter months, we would have to wait till spring until we could get that started and that’s a couple of months work that we need to get some of the permits approved. So at once we've got all that done, we've then got some pre-stripping to get organized, we would want to stockpile ore and once we have two-months to three-months of ore stockpiled on surface we would look at starting up and mill again. And we would expect that probably in the order of 12-months from the point where it would be declared strategic we could look at starting up production at that point in time.
Andrew Breichmanas – BMO Capital Markets Ltd.: Okay great. Thanks very much.
Operator: (Operator Instructions) And we now have a question from the line of Daniel McConvey from Rossport Investment. Please go ahead.
Daniel R. McConvey – Rossport Investments LLC: Good morning Ian and everyone. First off just a follow-up on the carbonaceous that’s response sounded a bit like a statement. In terms of level of concern you have with this carbonaceous I’m sure you are running into is it – would you call it median or where would you put in terms of the concern level.
Gordon D. Reid: The carbonaceous material is not new to Kumtor, we’ve always had it, what we found is that our models don’t predict it well enough. What we’ve done is taken steps to build more stockpiles, so we have better gradation. Our main process to reduce the impact of the carbonaceous material is to blend it to less than 10% pre-grubbing index. So we instituted more stockpiles, so we can have a more finite blending. And then we also use diesel fuel which tends to blind the carbon. So it’s not a new problem, it’s an ongoing problem. We are just continuing to find ways to better improve our recoveries by managing that material.
Daniel R. McConvey – Rossport Investments LLC: But it sounds like you are running into more of it than you have in the past.
Gordon D. Reid: Well, what happened is that our stockpiles have run down and the current ore, where we access the ore in the SP Zone had high levels of carbonaceous material. In the past we’ve had more stockpiles on a surface that allowed us to blend it down. That’s not the case right now, because our stockpiles are at a low level.
Daniel R. McConvey – Rossport Investments LLC: Okay, that’s helpful. Thank you.
Ian Atkinson: Yes, Dan can I this is Ian, just add one other thing to what Gord said, as we know now we’re down into the SP Zone. We are building up our stockpiles actually fairly rapidly. So again that’s another part of the mitigation step the larger stockpiles, the more opportunity we have to blend in this carbonaceous material and also blind it with diesel. And so it’s just as Gord said, during the third quarter we just didn’t have as much flexibility as we’ve had in the past. It’s not a new problem it’s let say we’ve had carbonaceous ore, we’ve had to deal it since Kumtor started so.
Daniel R. McConvey – Rossport Investments LLC: Okay, thank you. Second question. I understand power has been the challenge in the country for a while and there is certain press reports, I’m hearing about the power. Just could you just remind us where your power comes from and if there is any concern about power supply through the course of the winter.
Ian Atkinson: Sorry, go ahead, Gordon.
Gordon D. Reid: Yes, Kumtor gets its power supply of the national grid, we have an agreement with the government that we get the priorities over power, I mean we’ll get power when pretty much know one else in the county except hospitals et cetera, we’ll get power. So we’re protected in that way, there is a bit of an issue in that with these rolling black-outs and brown-out that they’ve announced for this year and its happened in previous years in Kyrgyzaltyn, is that when they make these switches that we sometimes get power drops which causes us some throughput problems in the mill, but we have good communication with the electrical authorities, to let us know when these are happening and we mitigate the impacts of those as much as we possibly can.
Daniel R. McConvey – Rossport Investments LLC: Okay. So you are not too worried about things being worse this winter than they have been in other winter? Maybe second flavor, locally in the country what the concern levels are for power supply this year outside of the mine versus other years?
Ian Atkinson: Well, I mean Kyrgyzaltyn has been in this situation before and we’ve managed it before, we highlighted it as a risk, but we do have a mitigation plan and we believe we will manage through this winter as we have in the previous winters.
Daniel R. McConvey – Rossport Investments LLC: Okay. Thank you very much.
Operator: There are no further questions at this time.